Executives: Joji Okada - Chief Financial Officer, Senior Executive Managing Officer, Representative Director, Chairman of Disclosure Committee and Chairman of J-Sox Committee Keigo Matsubara - Deputy Chief Financial Officer, General Manager of Global Controller Division and Managing Officer
Joji Okada: Good evening, and I welcome everyone to the first quarter earnings conference call. My name is Joji Okada, the CFO of Mitsui & Co., and I will start off with an overview of the first quarter results and progress of investments and loans. Then I will turn things over to our General Manager of the Global Controller division, Mr. Matsubara, for the details of our first quarter results. Please refer to Page 1 of the presentation material on our website. Looking back into the operating environment during the first quarter, the global economy has maintained its recovery trend since the latter half of last year, although at a moderate pace. In the U.S., the economy was driven by personal consumption. And in Japan, as well, we have seen steady growth in the economy with the January to March real term GDP growing at an annualized rate of 4.1% compared to the previous quarter, mainly driven by personal consumption and increases in exports. On the other hand, Europe continues with its negative growth, and it is becoming clear that China is shifting its priority from the speed at which its economy grows to the sustainability of growth. As the emerging economies are entering an adjustment phase and the advanced economies are showing resilience, the 2 concerns floating around are: the slowdown in Chinese growth; and the phase reduction in Q3 in the U.S. Because of these factors, it is not easy to brush off future uncertainties. However, our view remains that the global economy as a whole will maintain a moderate pace of growth. Against such an operating environment, I am pleased to say that we got off to a solid start for the new fiscal year. Net income attributable to Mitsui was JPY 125.8 billion for the quarter, an increase of JPY 21.4 billion from the first quarter of the previous year. Although the market prices for iron ore, coal and oil and gas have declined from the same period of the previous year, we were able to partially offset this decline by increased iron ore volumes. And in addition, the cheaper yen was a major contributor for the increase. In the Mineral & Metal Resources segment, the first quarter iron ore volumes were good, and we are progressing as planned. The Energy segment has recorded an increase over the same period of the previous year mainly due to higher levels of dividends received from LNG projects. The Iron & Steel Products and Chemicals segments are showing a strong recovery from their poor performance last year mainly due to reversals of 1x losses and the recovery in trading activities. As I said, uncertainties remain in the operating environment. However, we will continue to monitor the changes in commodity prices and exchange rates and maintain our efforts to achieve this year's net income forecast. I will now talk about the progress we have made in investments and loans on Page 2. During the first quarter, we implemented investments and loans in the amount of JPY 255 billion, and I will explain the breakdown. In Metals, we invested JPY 40 billion mainly in Australian iron ore expansion and copper mine development. We invested JPY 40 billion in Machinery & Infrastructure mainly in smart city developments and rolling stock for leasing. In Energy, we invested JPY 155 billion in total in acquisition of equity in an Italian onshore oilfield, as well as expansions of oil and gas and coal projects. On the other hand, we collected JPY 65 billion through collection of loans, as well as divestitures of shares and real estate. As a result, net cash outflow for investments and loans was JPY 190 billion. We continue to have abundant opportunities for good investment, which will be our future growth drivers, or catalyst, for change in our business model. However, we will be very selective in allocating our capital and continue with our strategic asset recycling in order to build a strong business portfolio, bearing in mind the future shift to a positive free cash flow position. With that as a closing, I would like to turn to our General Manager of the Global Controller Division, Mr. Matsubara, for the details of the first quarter results.
Keigo Matsubara: Please turn to Page 3 of the presentation. I will now explain the performance of our individual reportable segments compared with the net income in the same period the previous year. For the net income of major subsidiaries and associated companies, please refer to Pages 14 and 15 of the data book. The amounts I will refer to from now on are all after-tax figures. Chemicals posted a net income of JPY 7.7 billion, an increase of JPY 6.7 billion compared with the same period the previous year and achieved major progress against the full year forecast. There was a positive impact of a 1x gain on the sale of shares in Daicel Corporation, as well as a recovery of underperforming trading activities for petrochemical materials. Iron & Steel Products posted a net income of JPY 3.1 billion, an increase of JPY 5.1 billion compared with the same period the previous year. There was an improvement in the foreign exchange gains and losses including a reversal effect of the foreign exchange losses posted in the same period the previous year. Energy posted a net income of JPY 59.7 billion, an increase of JPY 3.4 billion compared with the same period the previous year. A negative impact of decline in production from Mitsui E&P Australia associated with overhauling its oil production facility was more than offset by the positive impact of increases in dividend income from LNG projects, including Sakhalin II. Mineral & Metal Resources posted a net income of JPY 33.1 billion, an increase of JPY 2.4 billion compared with the same period the previous year. Although there was a negative impact of a 1x loss in the scrap business, as well as a decline in iron ore prices, these were more than offset by the positive impact from our Australian iron ore operations such as depreciation of the Japanese yen and an increase in sales volume. Innovation & Corporate Development posted a net loss of JPY 0.9 billion, a decline of JPY 4.8 billion compared with the same period the previous year. Our venture capital business in the United States posted impairment losses on investments and a loss on sale of investment. Please turn to Page 4 of the presentation. This page shows the breakdown of the change in net income between the 3-month period ended June 2013 and the same period the previous year. The amounts I will refer to on this page are all after-tax figures as well. I will start with a 1x reversal effect column. In the same period the previous year, there was a 1x gain on divestitures of securities of JPY 3.0 billion including T-GAIA. On the other hand, there were impairment losses on securities of JPY 6.0 billion and other negative factors. And as a result, the net overall reversal effect was a positive JPY 6.0 billion. I will move on to the divestiture and evaluation profit loss column. Negative effects of JPY 15.0 billion in total, including an impairment loss on investment in an LNG project, exceeded the positive effects of JPY 5.0 billion in total, including a gain on the sale of shares in Daicel Corporation. As a result, the net overall effect was a negative JPY 10.0 billion. With regards to market and commodity prices factors, there was a net overall increase of JPY 18.0 billion; mainly due to depreciation of the Japanese yen, while the decline in coal, iron ore and oil and gas prices had some offsetting effects. As for cost in Metals and Energy, there was a cost increase of JPY 0.2 billion, mainly in depreciation costs for oil and gas, which was partially offset by cost reductions in coal. Miscellaneous includes positive factors such as JPY 3.0 billion attributable to increases in the sales volume of Mineral & Metal Resources and Energy, mainly iron ore. Please turn to Page 5. Let's look at our balance sheet and cash flow as of June 30, 2013. Total assets increased by JPY 120.0 billion from that of March 31, 2013 to JPY 10.4 trillion. Shareholders' equity showed a net increase of JPY 70.0 billion from that of March 31, 2013 to JPY 3.3 trillion, attributable to an increase in retained earnings, which was partially offset by a decline in foreign currency translation adjustments, reflecting depreciation of the Australian dollar and Brazilian real against the Japanese yen. Net debt-to-equity ratio has been lifted by 0.03 points to 0.92x from the level of 0.89x as of March 31, 2013. Net cash provided by operating activities was JPY 112.3 billion, but it is worth noting that this was impacted by an increase in working capital of JPY 64.9 billion associated with increased trading volume. Net cash used in investment activities was JPY 185.4 billion, mainly attributable to an expenditure in the acquisition of equity in an Italian onshore oilfield. As a result, free cash flow was a net outflow of JPY 73.1 billion. That completes my presentation. I would like to thank you for joining us today.
Unknown Executive: Now we would like to start taking questions.
Unknown Analyst: I have 2 questions. First of all, you are progressing well ahead of the full year plan. This may be partly because of increased dividend income, but the rate of progress against the plan was quite good overall. And yet, you have not changed your full year forecast. Is this because you have any particular concern from second quarter onward, or is it the case that you just have decided not to change the forecast for the moment but you are trending towards being ahead of the plan? Could you tell us how you're looking at the current status of the business with some more nuance?
Unknown Executive: It is true that our progress in the first quarter has been quite strong. But as you said, the increase in dividend income from LNG projects was one of the factors that pushed up the performance. But Iron & Steel Products, Chemicals and the Machinery & Infrastructure project segments were strong or generating more profits than expected. And prices of iron ore and energy were slightly higher than had been expected at the beginning of the term. In addition, there are foreign exchange factors, as well as increased sales volume in iron ore. Going forward, our concern is how the slowdown in the Chinese economy will affect the price of iron ore or the possibility of the Chemicals business being affected by the slowdown in China since we have basic chemicals business there. Moreover, taking an example of energy, MEP AU may take slightly longer in overhauling its FPSO used in Vincent oil field and the Multigrain. Although in Brazil, as a whole, they have had a good progress. The farm that we own was slightly affected by drought and, as a result, had a poor harvest. So these are some of the negative factors, or concern, that we have. And therefore, we would rather leave the full year forecast unchanged for the time being.
Unknown Analyst: The second question has to do with Energy. As you said earlier, the dividend income from LNG projects is rather large, and you said in your plan at the beginning of the fiscal year that you would benefit from dividends in the Energy segment. Compared to what you had forecasted, did you receive more dividends in the first quarter, or was the dividend income just as you had planned? If can you give us your sense of whether the level is ahead or behind your original plan, that would be appreciated.
Unknown Executive: I'm sorry, but we're not in a position to answer questions on dividend income from LNG projects.
Unknown Analyst: Then how are we supposed to anticipate the dividend income from the second quarter onward?
Unknown Executive: That we cannot answer either.
Unknown Analyst: There are 2 questions. The first question is about Iron & Steel Products and Chemicals. You told us that trading was recovering especially in Chemicals. Last year, the issue of unprofitable contracts you held was resolved. Is it this action that has brought you back on track, or is it because the Chinese economy that you've mentioned as one of your future concerns turned out to be better than expected in the first quarter? In other words, I'm interested to know why you have seen recovery in Iron & Steel Products and Chemicals. The second question is about MIOD and MII, which have posted a significant increase in profits. Could you give me your analysis of the breakdown of year-on-year changes including prices, sales volume and foreign exchange rates?
Unknown Executive: To answer your first question, in Chemicals, we posted a JPY 6.7 billion growth from the same period last year. And in particular, the basic chemicals business unit saw close to JPY 5 billion in improvements. Part of the reason is the divestiture of the shares of Daicel. Excluding that factor, the trading simply restored its typical performance. Therefore, it is not the case that the trading was stronger in particular. We used to have unprofitable contracts in the last fiscal year. And as we resolved this issue, we were able to improve our performance.
Unknown Analyst: So does that mean that it is not the better-than-expected Chinese economy, but rather resolving unprofitable contracts that has brought you back to the typical profitability level? And that even if the Chinese economy doesn't get better in the second quarter, we can expect the level of performance you achieved in the first quarter?
Unknown Executive: If the Chinese economy maintains the current level, that's what we expect. Thank you.
Unknown Analyst: What about Iron & Steel Products?
Unknown Executive: There was continued reversal of the foreign exchange losses in trade posted in the previous fiscal year. If we exclude this, the performance achieved is what we typically are capable of. But prices of steel products were declining especially due to excessive production in China. We're seeing a slight increase in prices more recently. But throughout this quarter, the prices were mostly on a downward trend. So the segment was not at the level that we would typically see in better markets. Thank you.
Unknown Executive: To answer your question in MIOD and MII in terms of prices, sales volumes and foreign exchange rates compared to the same period last year, prices went down while the sales volumes went up and the foreign exchange rates were favorable to us.
Unknown Analyst: I understand the directions of the impacts, but I would like to know the specific values.
Unknown Executive: Let me give you the numbers on MIOD. The positive impact from sales volume was worth JPY 1 billion, just to give you rounded numbers. Then the negative impact from prices was worth JPY 2 billion, while the foreign exchange factor had a positive impact of JPY 6 billion. Thank you.
Unknown Analyst: It seems that you're doing quite well in terms of foreign exchange rates and sales volumes. I'm sure the performance was better than forecasted in the first quarter. But from second quarter onward, since the percentage of fixed-price contracts based on previous 3-months average is significantly lower in your iron ore business now. And so, your performance pretty much reflects the changes in spot prices. Assuming that prices of iron ore will not go down too much from the second quarter on, am I correct to understand that you will be outperforming the plan in the iron ore segment?
Unknown Executive: Prices have been fluctuating considerably and rapidly this year. And during the period between April and June, there were times when prices temporarily dropped significantly. So we expect the impact to be felt in the second and third quarters.
Unknown Analyst: Do you mean that the spot price declines in the first quarter will affect the contract prices in the second and third quarters?
Unknown Executive: Yes, you're correct.
Unknown Analyst: And is it also true that the share of trading based on fixed-price contracts is getting smaller?
Unknown Executive: No, it is not. There is 2 contracts with a time lag of 1 quarter, so not every trade is based on spot prices.
Unknown Analyst: I have 2 questions. The first has to do with the cash flow. In the first quarter, working capital was net cash outflow. In the last fiscal year, it was cash inflow, if I remember correctly. So I suspect this was due to seasonality. Trade receivables remained mostly unchanged, while trade payables increased. So what were the factors behind this?
Unknown Executive: It is true that you may not be able to see so easily just by looking at the balance sheet, but I would like you to understand that this is related to the recovery in trading. Increase in trading means increase in the volume of business that will entail financing burden on our part as a trading fund.
Unknown Analyst: Then my second question. By segment, all others adjustments and eliminations posted about JPY 2 billion in net income in the first quarter. But for the full year, this item was forecasted to be JPY 10 billion in losses. I wonder what was happening in the first quarter and how you position the first quarter in light of the full year forecast.
Unknown Executive: There was reversal of the deferred tax assets in almost full amount at the end of the last fiscal year. And for this fiscal year, we put together the plan under the assumption that we would not be able to post deferred tax assets anymore. However, since this fiscal year was in the middle of the medium-term management plan, valuation allowance for deferred tax liabilities was not allocated among different business segments, but captured in the all others adjustments and eliminations item. But for this particular quarter, partly because of the recovery in trading, the taxable incomes of the parent company, as well as consolidated domestic wholly-owned subsidiaries, improved compared to the forecast at the beginning of the fiscal year. Therefore, the tax expenses originally expected to be incurred to the corporate sections did not materialize, which was a major reason. Thank you.
Unknown Executive: In the last and this fiscal years, there were tax expenses on gain on sale of stocks. And in this quarter, there was 1x gain on sale of equities that we sold. This has also contributed to the numbers you see.
Unknown Analyst: Does this item include gain on sales of equities in the first quarter?
Unknown Executive: Yes, but the amount is small.
Unknown Analyst: Which is larger, the gain on sales or tax effect?
Unknown Executive: We cannot answer that question.
Unknown Analyst: There are 2 questions. The first one has to do with the impact from the foreign exchange rate. You said there was JPY 31 billion in net incremental effect from foreign exchange when you explained breakdown of year-on-year change in net income. Can we expect these ForEx-related extra profits to be maintained, as well as the current rate of around JPY 100 to the $1 continues? You have disclosed numbers very much in detail. And especially, functional currency versus revenue currencies is related to hedging. So I'm interested to know your approach from the second quarter onward.
Unknown Executive: To answer your first question, as you said, there was a considerable impact of JPY 31 billion from the foreign exchange gains in the first quarter. Our assumption in the business plan at the beginning of the fiscal year was JPY 95 to both the U.S. dollar and Australian dollar. It turned out that the U.S. dollar stayed higher than JPY 99, or very close to JPY 100, and the Australian dollar was also slightly stronger to the yen at around JPY 96 throughout the first quarter. Therefore, we were significantly affected by those ForEx rates. However, since the end of June, although the U.S. dollar remained close to JPY 100, the Australian dollar has been depreciating against the yen, going down below JPY 90 currently, thereby offsetting any gain obtained from the exchange rate of the U.S. dollar. Therefore, the profit we enjoyed in the first quarter from the foreign exchange may be left intact, but it is hard to forecast what is going to happen to the foreign exchange gains or losses from second quarter onward, as we could end up being almost neutral in terms of gains and losses.
Unknown Analyst: I would assume you have been taking hedges in your business in Australia, but are you going to see the impact from the appreciation of the Australian dollar against the yen with a certain time lag, or will you see the impact realized immediately because it is just a matter of translating the Australian dollar to the yen?
Unknown Executive: We tend to hedge so that we will be able to capture the upside from changes in U.S. dollar-yen rates. Actually, we would like to decline any further comment about our hedging policies.
Unknown Analyst: On investments, as you explained on Page 2, you have budgeted JPY 1 trillion for the full year and executed about JPY 250 billion in Q1, which appears to be well in line with the plan. Now recently, there have been a number of cases elsewhere in which resource-related investments overseas are either postponed or cut down. In contrast, you have recently announced an additional investment in iron ore. Has there been a change in your investment stance from what you had originally planned for your medium-term management plan or from the beginning of this financial year? Or are there any signs of such perhaps internal discussions on making an adjustment?
Unknown Executive: On iron ore, we have indeed announced acquisition of equity in Temple Bar during the quarter. Temple Bar is among the best mines that BHP owns. We decided to go ahead with this acquisition as it is, for us, almost like an expansion of existing interest, rather than a new acquisition in terms of reserve size, cost and infrastructure. There will be substantial investments for Mineral & Metal Resources, as well as in Energy this year as was the case in the previous year. In particular, for iron ore, our stance remains unchanged that we will focus on scheduled expansions.
Unknown Analyst: What about Mineral & Metal Resources other than iron ore, as well as Energy? Is your investment stance unchanged on those fronts too?
Unknown Executive: Yes, that's right. For copper, in the previous year, we acquired an interest in AAS, or Anglo American Sur, through a joint venture with Codelco. But our basic stance remains unchanged. For Energy, we will continue to seek opportunities to expand on equity already owned. On the other hand, there will be more investments down the road in Mozambique. As is the case here, we think participating from the exploration stage is more in our interest. However, given the inherent uncertainty on such undertakings, we are taking due caution.
Unknown Analyst: Your operating income fell this time, and that must be mostly due to the underperforming derivative trading at MCRM. Why was this the case, and is this to continue in future quarters? And would it cost you to miss the full year forecast?
Unknown Executive: A major factor of the operating income decline for Innovation & Corporate Development segment is that gross profit has declined in correspondence to an improvement of JPY 12.5 billion in the foreign exchange gains and losses posted in other expenses net. Excluding this factor, operating income would actually be up. As for the loss at MCRM, that is related to the Dodd-Frank Act, which is expected to come in force soon. Concerns over tighter regulation of derivative trading has reduced market liquidity, and the resulting unfavorable market environment have led to underperformance in our trading. That is why MCRM remained in red. Our current policy is to make up for the losses by reducing our proprietary trading position and by rebalancing the portfolio so as to increase the percentage of transactions with limited risk exposure and steady returns; current losses should therefore be understood as transitional.
Unknown Analyst: If that is the case and if the impact of the foreign exchange gains and losses is to continue, does it mean that operating income figures will remain lower than the forecast?
Unknown Executive: Yes. Just to clarify, the impact of foreign exchange gains and losses is not tied to MCRM, but rather just a normal course of things. So, yes, it will continue to be the case and would therefore require adjustments on the operating income side. Actually, among derivative transactions, there are commodity future contract for which buying and selling are denominated in different currencies, such as the U.S. dollar and the Japanese yen. When outstanding future contracts are marked-to-market, valuation differences due to commodity prices are reflected in gross profit, while valuation differences due to foreign exchange are booked as other expenses net, which is a non-operating item. Now the final gain or loss would have been locked in at the beginning. So when all contracts reach maturity, the actual realized gain or loss would be exactly as originally planned. However, for contracts extending across multiple quarters, there will be ups and downs every quarter on both the gross profit side and the other expenses net side, as an artifact of mark-to-market valuation.
Unknown Analyst: A large portion of your business performance depends on iron ore and energy, for which there appears to be some weakening or downside risk in emerging markets including China. Do you get such a feel from your day-to-day trading activities? Any concerns you have that we might need to watch out for?
Unknown Executive: With regard to iron ore, we are keeping close watch on the market in China. As you may be aware, crude steel production there recorded high growth in the April to June quarter. On the other hand, steel product prices have fallen and demand was not high, so there appears to be some negative energy building up. So far, inventory at ports remain at a low level, and steel mills have managed to balance their production nicely. We are, however, very worried that, at some point, the current balance may give way to the underlying demand-supply gap. Indeed, prices are falling for steel products from China and thereby squeezing margins. Such are our concerns about iron ore.
Unknown Analyst: On your shale gas projects in the United States, my understanding is that depreciation will continue to weigh in heavily. Can you give us an update on the status of depreciation as well as development, please?
Unknown Executive: For the Marcellus Shale, the development cost carry payments have all been completed in July 2012. Depreciation for the development cost that we have carried in the past still continues, but that will gradually come down and profitability shall improve. Production is in line with plan. For Eagle Ford in Texas, thanks to its liquid-rich nature, profit margins are good. Once the development carry payments are completed, profitability should be even better.
Unknown Analyst: On divestiture and evaluation profit and loss, you referred to impairment loss on investments in an LNG project. Would you provide more details on this, if possible? In addition, are there any other commodity-related projects that you have concerns about?
Unknown Executive: I am afraid we cannot name the LNG project that we took an impairment loss for. It was investment into a non-group entity, for which fair value measurement resulted in a write-down of book value. As to your question about other commodity-related projects, as long as prices stay at the current level impairments should not be necessary.
Unknown Analyst: Another question on the impact of foreign exchange gains, which had a significant impact on your Q1 results. You did mention some concerns down the road with the yen appreciating against the Australian dollar. Nevertheless, it appears to me that the impact is much larger than the sensitivity provided in your material. Why would this be the case?
Unknown Executive: In Q1, progress against the full year plan was rather large, so you cannot simply take a quarter of a full year sensitivity given that the relevant foreign exchange denominated amount is larger. Another factor is the increase in dividends received from LNG projects including Sakhalin II.
Unknown Analyst: On energy, I hear that the overhauling at Vincent is taking more time than planned. MEP AU posted a loss in Q1, but what about Q2? Would the impact be minimal with MEP AU returning to profitability?
Unknown Executive: The FPSO was totally shut down during Q1 with no production at all. It is expected to come back online in October. But until then, we are expecting no production, not even a gradual ramp-up.
Unknown Analyst: What is the outlook for business segments, such as Lifestyle and the Americas, which are lagging behind in terms of progress against the full year forecast? Do you think they can deliver the full year forecast?
Unknown Executive: For the Lifestyle segment, progress in Q1 against the full year forecast may appear to be slow for the food resources business unit and food products and services business units. But this is only seasonal, as Q1 is typically slow with most activity concentrated in Q2 and Q3. Consumer service business unit took some impairment loss, but is expected to be back on track with asset divestiture plans in Q2 and onwards. Food resources business may fall short of the full year forecast due to that possible 1x effect of a drought at Multigrain. For the Americas, there was a 1x effect of a write-down for some wise [ph] but excluding that, we shall be in line with the full year forecast.
Unknown Analyst: What about Novus?
Unknown Executive: Novus is currently falling short of plan with products other than methionine struggling, and with methionine prices falling, but we are trying to bring it back in line on a full year basis.